Operator: Good day, everyone and welcome to the InfoSpace Q4 2005 Earnings Release Conference Call.  Today's call is being recorded.  At this time, for opening remarks and introduction I would like to turn the call over to Stacy Ybarra, Director of Investor Relations for InfoSpace.  Please go ahead ma'am.
Stacy Ybarra: Thanks Terry.  Good afternoon, and welcome to InfoSpace's fourth quarter and full-year 2005 earnings conference call.  I'm Stacy Ybarra, Investor Relations for InfoSpace.  With me on the call today is Jim Voelker, Chairman and CEO and David Rostov, Chief Financial Officer.  Before we get started I'd, like to remind you of two things, first, this is an investor conference call, accordingly, we will only be taking questions from the investment community.  Second, this conference call contains forward-looking statements related to the developments of the Company's products and services and anticipated future operating results.  These statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those projected.  Factors that could affect the Company’s actual results of operations include but are not limited to the products and cost related developments of our products and services, the timing of market acceptance of those products and services, our dependence on companies to distribute our products and services.  The performance of our system, the effectiveness of the developments and implementation of our strategy, possible changes to that strategy, the availability to retain key contracts and personnel and the availability to successfully integrate acquired businesses. A more detailed description of certain factors that could affect actual results of operations is contained in the company's most recent annual report on forms 10-K and quarterly reports on form 10-Q as filed from time-to-time with the Securities and Exchange Commission in the section entitled factors effecting our operating results, business prospects and market price of stocks.  Listeners are cautioned not to rely on these forward-looking statements, which speak to the Company's prospects only as of the date of this conference call.  The Company undertakes no obligation to update publicly any forward-looking statements due to new information, events, or circumstances after the date of this conference call or to reflect the occurrence of unanticipated events.  Now I'll turn the call over to Jim, following his comments, David will review the fourth quarter financial results and then we'll open it up.  The call to your questions.
Jim Voelker: Thank you, Stacy.  And welcome, everyone to the call today.  InfoSpace ended 2005 with a strong fourth quarter capping a great year.  In 2005, we experienced another year of exceptional growth in revenue, profits and cash flow.  Revenues were 340 million for 2005.  Up 36% year-over-year.  With 21% adjusted EBITDA margin.  Our strong financial performance is a testament to the dedication, innovation, and hard work of our employees and the opportunities in the market in which we compete. In addition to the growth and profitability, we further strengthened our balance sheet.  After investing approximately 70 million in our repurchasing our stock.  We added 54 million to the balance sheet to finish the year with approximately 375 million or $11.17 for diluted share and cash.  We produced dramatic growth over the last three years, in this time frame, revenues increased over 150%.  And we improved from an operating loss of 9 million to a profit of 159 million.  That is one measure of progress, another measure is the more than five fold revenue increase in our Mobile business across this time frame.  And the establishment of our leadership position in the exciting Mobile Media Market.  Nearly everyone agrees that the mobile market is large and growing fast.  And as technology improves and customers are exposed to a broader array of services, growth will accelerate.  To put this opportunity into perspective.  The highly publicized US online digital music sales were only approximately 350 million in 2005, while the mobile ring tone market alone was more than twice that size. And this is just the beginning.  While most have recognized the opportunities, there's less general understanding of the attributes it will take to succeed.  I would like to take a few minutes to provide some insight into this market and to illustrate our strengths in addressing it.  At the mobile media market is emerged, many analogies to the growth at the internet have been proffered.  Some are appropriate.  The growth of the internet significantly accelerated when broadband networks became widespread.  In North America, the mobile market still operates and what is parallel to a dialup mode.  As the 3g-networks are completed and the handsets are turned over, speed will thrill.  Also analogous to the net, it will be paramount to provide you there is a method that navigate and discover content.  As mobile real estate is scarce and content is plentiful.  On the web, Amazon, Yahoo, Google and Expedia have assumed this role.  But other analogies are in exacted best.  For example, the internet is a truly public network, where each user pays for his or her small portion of the network and allows it to be combined to form the whole. In addition, the devices attached to the network are open devices with, for the most part, are a single operating system.  This device is financed in whole by the user who then defines the capability and format to suit his or her needs resulting in each website having more or less equal access to end users.  None of this is true in the mobile world.  The mobile networks have been developed by separate entities, consuming vast amounts of capital provided by their shareholders who demand and deserve a return.  The devices that access these networks are heavily subsidized by the carriers and proprietary by design and only the applications that the carriers approve of will appear or function on them.  Carriers hold and should be expected to continue to hold enormous influence on the services provided and the content available across these networks and devices.  The vast and varying devices create a layer of complexity and delivery in management not present in any other media type.  And that's destined to endure. These elements combine to form a different media market.  One in which InfoSpace is well positioned to succeed.  Our strategy for growth and value creation is built on three pillars, distribution, technology, and content.  Our distribution goal is simple.  Reach the largest possible audience through multiple channels.  We have essential footholds on several fronts and we'll develop another this year.  Online, we distribute information content to over 24 million users via our own brands and those of our 100-plus distribution partners.  We have partnerships with over 40 mobile carriers in North America and Europe, which serve over 400 million subscribers.  Our longstanding arrangements with major mobile operators such as Cingular, Verizon, T-mobile, Virgin, Vodafone and Orange have propelled the growth we've enjoyed.  And while the vast majority of Mobile content transactions take place on the phone today.  Mobilizing major brands is fast becoming an important route to consumers.  We work with brands such as Samsung, Motorola and Siemens and just yesterday, we announced a partnership with Fuse TV, the only all music, viewer influence, television network in the US. InfoSpace will develop, build, and manage the fuse network's storefront, offering a broad array of mobile content.  Our association with fuse is a great example of leveraging our carrier relationships, our private labeling skills, our technology, and the content catalogs we have to reach consumers.  The newest is been perhaps most exciting channel is our direct-to-consumer launch targeted for the first half of this year.  We've conducted significant consumer research in order to craft a consumer friendly value oriented offering that will feature our unique applications in a variety of content.  Our close working relationships with the carriers make us a trusted partner in developing this off deck channel.  The second pillar is technology.  InfoSpace possesses critical discovery, merchandising, and delivery capabilities, such as Meta Search, Store Front, and Portal Services and our patent pending technology that deals with a delivery of content across hundreds of mobile devices.  These capabilities combine to enable the presentation, merchandising, and delivery of relevant content to users everywhere, whether online or mobile. In the fourth quarter of '05.  We launched MEdia Net 3.0, the new portal service that significantly redefines the mobile browsing experience for the customers of Cingular wireless.  This dynamic portal allows Cingular subscribers to more easily find the content they're looking for and the customize and personalize information for the devices.  A critical component to our strategy is providing search capabilities to make it easier for users to find content and information when they are mobile.  As an expert in search, InfoSpace has invested in technologies that factor in user intends to better present relevancy.  Included in media net is our mobile search product.  This is a significant step in our quest to become the leader in mobile search.  The launch has been very successful as total search query volumes and queries per user have exceeded expectations.  Building a large and growing mobile search audience is a significant initiative for us in 2006 and we've taken a strong first step with the MEdia Net launch. Our portal and storefront technology enjoys widespread adoption and we continue to steadily improve the user experience and the modernization.  Portal and store-fronting are becoming more tightly integrated with search technology and with the entire content management delivery process.  In 2005, we sold and delivered over 150 million mobile downloads of content to over 600 device types, no other company has this scale for the broad technical skills we've developed which serve to make InfoSpace a valuable partner for the Mobilecom operators and content producers.  Neither the carriers nor the content owners possess the core competency or the scale necessary to cost effectively execute these complex tasks across the supply chain. As the mobile market grows, and the content pool expands, the complexity of content acquisition, rendering and delivery will increase and become more challenging to manage.  Regarding content companies, access to distribution on the carrier networks is limited and our position as a trusted partner is essential to the mobile value chain. The third pillar is content providing the user with whatever he or she desires, be it personalization, entertainment or information.  Regarding the Ladder, we recently renewed our online agreements with Google and today, with Yahoo to continue to deliver their results on our branded destination sites and distribution sites.  Both are multiyear arrangements, we're very proud to continue our longstanding partnerships with both of these leading companies.  We've developed a deep library of mobile content in music, graphics, games and a variety of other personalization products.  We're the leading provider of publisher of mobile content in North America with over 600 licensing agreements and over 1.5 million items in our content catalog. Our goal is to build on this leaning position by extending our range of content to appeal to a much wider audience.  We will continue to expand our demographics beyond youth oriented content by adding more sports, news and opinion as well as other verticals that have been under marketed such as the Hispanic and Faith-based segments.  This year we are also launching new initiatives for video applications and integrated with editorial and personalized content. In the fourth quarter we added significant industry expertise and leadership to our team.  Jules Haimovitz President of Dick Clark productions and former President of MGM networks joined our board of directors.  Also, accomplished media and entertainment executive Stephen Davis came aboard as our President of mobile and online media.  Steve was President of Granada America, the US based development and production division of iTV, one of Europe's largest media companies.  We're very excited about the future here.  We have the critical assets and skills required to build a substantial business in a dynamic market.  We build strong distribution and content relationships and we have a broad and deep technology and operational skills already operating on scale.  While some have been skeptical about the role of intermediaries in this market.  Our carrier customers continue to ask more of us, and our content partners look to us for broad distribution and technical wherewithal, on a daily basis. At least one major content player has recognized the challenge this market holds.  Last quarter, Electronic Arts acquired JAMDAT, the leader in mobile games, at a healthy valuation relative to revenue and profit.  EA knows how to license material for games and they know how to build them.  But they recognize the technical expertise JAMDAT had build in mobility and the significant distribution network they developed.  We have a track record of growth and execution and have the capitol and organization structure for success.  We recently combined our mobile and online units to leverage our considerable resources and talents on both sides of our business.  2006 will be an important year of development and investment to exploit the emerging opportunities, created by the converges of mobility, entertainment and information. Before I turn the call over to David, I would like to express my thanks and admiration for the job he's done here, and for the effort he's expended on behalf of InfoSpace and its shareholders, as we announce today.  David plans to resign during the first half of 2006 to pursue other opportunities.  He came on board as part of a restructuring effort and has been one of the most significant contributors in turning the Company around to the type of results that we have been so proud to achieve.  David's ready for new and different challenges in his career and we and I in particular, wish him all the best.  I'll miss his intelligence, his integrity, and his counsel.  For the time being, David will remain in place as we search for his successor.  With that, I'll hand the call over to you, David to provide some more detail on our financial results and outlook.  Thank you.
David Rostov: Thanks, Jim.  And welcome to the call today.  On a personal note, it has been great working with all of you, I am very proud of what we've accomplished in InfoSpace in the last three years, as Jim indicated I will be actively involved in the management of InfoSpace until my successor is named.  I expect the transition to be a smooth one, especially since we are fortunate to have a very strong and seasoned financial team. Now for our results.  I will start with the review of our 2005 results and then discuss our first quarter 2006 outlook.  Our revenues for the fourth quarter were $86.5 million, an increase of 6.9 million or 9% from fourth quarter '04.  From the fourth quarter 2005.  Adjusted EBITDA was $ 15.8 million, a decrease of $6 million, or 28% year-over-year.  However, adjusted EBITDA was up $1.8 million or 13% relative to third quarter.  The adjusted EBITDA margin for the quarter was 18%.  We had another strong quarter of profits generating net income of $37.9 million or $1.13 per share.  Included in net income was a tax benefit of $25 million or $0.74 per share from realizing a deferred tax asset related to a portion of the net operating loss carry forwards attributable to continuing operations.  Excluding this tax benefit net income would have been $12.9 million or $0.39 per share.  Weighted average fully diluted shares was 33.6 million for the fourth quarter of '05. For the full year '05.  We had revenues of $340 million, an increase of $90.6 million or 36% from 2004.  Adjusted EBITDA for 2005 was $70.9 million, an increase of $11.9 million, or 20% from 2004.  Net income was $159.4 million or $4.47 per share.  Net income includes two significant items in 2005, totaling $102.3 million or $2.87 per share.  A $77.3 million net gain from a litigation settlement in early 2005.  And the aforementioned $25 million tax benefit in the fourth quarter.  Excluding these two items, 2005 net income would have been $57 million or $1.60 per share.  On the employee front, we ended 2005 with 615 employees.  Up 170 from year end 2004. Now let me turn to our segments.  In the fourth quarter of '05.  Search and directory revenues were $44.3 million, down 2.9 million or 6% from the fourth quarter of '04.  During the quarter, total paid searches in North America for both Search and Directory were approximately 195 million and the average revenue for paid search was approximately $0.18.  Segment income was $19.6 million and the segment margin was 44%.  The segment income and margin showed significant improvement from third quarter due to a number of factors.  Seasonal strength at our own sites, a favorable mixed shift, and the reduction in marketing span relative to third quarter.  In the fourth quarter, Search Distribution revenues in North America continued to account for approximately 60% of the portion of Search and Directory revenue coming from Search.  For the full year 2005, Search and Directory were $182.6 million, up 25.7 million or 16% from 2004.  Segment income was $78.1 million, up 9.5 million or 14%.  And the segment margin was 43%. During the second half of 2005, we made a lot of progress toward improving the quality of our distribution traffic network.  Now turning to the mobile business, revenues for the fourth quarter were $42.3 million.  An increase of $9.8 million or 30% from the fourth quarter of '04.  Relative to third quarter, revenues were up $3.2 million, or 8%.  Mobile segment income totaled $7.3 million for the quarter, down 800,000 or 10% from the same period last year.  And the segment margin was 17%.  We are pleased that our mobile margin in the fourth quarter was in line with our third quarter results.  As we have discussed over the last few quarters, our margin has been impacted by two main factors, a significant mix shift towards label tones and our continued investment into the business and new opportunities that are presenting themselves.  It is important to note that approximately 75% of our music downloads are now label tones.  For the full year 2005, mobile revenues were $157.4 million, up a very strong $64.9 million or 70% from 2004.  Segment income was $32.7 million, up $7.1 million or 28%.  And the segment margin was 21%.  This incredible growth speaks to the opportunity in front of us, and our increased investment and focus on it. Regarding the balance sheet, the Company ended the quarter with $375.4 million in cash and marketable investments, up $13.6 million from the third quarter and up $54 million for the full year.  During the quarter, we repurchased 300,000 shares for approximately $8 million.  Since we initiated our $100 million stock repurchase program, we have repurchased 2.6 million shares at an investment of just over $70 million.  Now, let me turn to our first quarter outlook.  I'll start with a few housekeeping items. First, in 2006 we will begin expensing stock options.  We expect that our 2006 first quarter stock compensation expense will be approximately $4 million, versus no expense in 2005.  Second, in the fourth quarter of 2005.  We realized a benefit from our deferred tax assets.  As a result, in the first quarter of 2006 our estimated World Wide effective tax rate for GAAP purposes will be between 5% and 10%.  This compares to approximately 1% in 2005.  Keep in mind that our actual net operating loss carry forward is over $1 billion.  So this effective tax rate change will have no effect on our cash taxes. Third, as Jim indicated, recently we emerged the operations of our two businesses, Mobile and Search and Directory.  As such, in 2006, we do not expect to continue reporting each segment separately.  Regarding revenues, we expect revenues to be generally in line with fourth quarter 2005.  Keep in mind that the fourth quarter tends to be our seasonally strongest quarter.  2006 is a very critical year for InfoSpace as we continue to invest in the mobile market.  This is a very fast growing and evolving business opportunity.  In the first quarter, we will invest significant resources in three major growth initiatives, content licensing, mobile search and a mobile direct to consumer offering.  These initiatives will account for approximately $5 million of operating expenses in the first quarter of 2006.  For the first quarter, we expect revenues to be between $85 and $87 million.  We expect adjusted EBITDA to be between $7 and $8 million and net income to be between $1 and $2 million, or $0.03 to $0.06 per fully diluted share.  Keep in mind when comparing 2006 net income to 2005 results, our first quarter 2006 net income will include approximately $4 million from stock compensation expense.  This concludes our prepared remarks, I will now turn the call over to the operator, and we'll be happy to take your questions.
Operator: Thank you.  Operator Instructions Our first question comes from Safa Rashtchy with Piper Jaffray.
Safa Rashtchy: Good afternoon.  First, I just want to make sure I heard you correctly, David that you will not be disclosing segment information.  If so, do you plan to give metrics that could help us follow the growth pattern of, for your businesses?  And if not, what do you think is likely to look at the different businesses as you go forward.  And I have a quick follow-up.
David Rostov: Hi Safa Rashtchy, thanks for the question.  In terms of the segments, as Jim indicated and as I mentioned as well.  At the beginning of this year, we merged our two business units and really just a bit of history on the reason and the rational for that was a fundamental view and we've talked about this before, the assets we have and the relationships we have and the technologies we have and the customers we have on the online side are moving more and more toward the mobile side where we think we have a leadership position.  And so we felt that the best way to address this expanding market is via a combined effort.  So I think in the near term, probably the best indicators of how the business is doing will be around a consolidated better results.  Obviously as some of these major business initiatives we discussed like the direct-to-consumer or the mobile search product as they get their own sort of velocity, will work toward giving you and investors a better sense of what the key metrics are, I think it's probably a little early to comment on specific metrics for any of these, but yeah, we have a lot of initiatives in the works here and so we'll be able to give you a better sense of that as the next couple months and quarters go on.
Safa Rashtchy: Okay.  And are you seeing any traction for your online customers moving to mobile platform.  Have you been able to actually put some of these advertisers, I assume that's what you're referring to on the mobile platform or is it the content you're referring, give us more clarity on that.
Jim Voelker: Well, the, you know, Safa this is Jim.  I think you know we've announced before, we talked today in the script, the search product that's on media net three right now.  3.0 is the first launch we've done with a carrier where we embedded mobile search in there.  We don't think it's going to be the last.  We hope not.  The relationships we have with those carriers and particularly the fact that we deliver the portal for them already bode well for our opportunities there.  I also mentioned briefly today that we resigned with Yahoo.  In fact that just happened this afternoon.  And that extends they're advertiser capability and results capability to mobile, as well.  Stay tuned on that, you'll be seeing more as we go on.  I mentioned in my script, but I'll mention it again as an aside.  We've been frankly very surprised at not only, well really at the number of queries we're receiving through the media net portal and the number of queries per user.  Better than our, much better than our expectations would have been.  We're getting more excited about it.
Safa Rashtchy: Great, and if I could just, last question, given this trend, I'm curious as to what appears to be conservative guidance for Q1.  You may have addressed this.  Typically you still have a reasonable strong season in search in Q1 building up on Q4.  And your mobile business seems to be doing well.  How should we look at the guidance you're giving, what kind of seasonal did you expect.
David Rostov: Yeah I think, Safa, it is David, you know, that in the fourth quarter for both our businesses is as we think the strongest quarter in terms of purchasing behavior and in terms of advertising behavior, et cetera, so whenever we look toward the first quarter, at least historically with granted a limited number of years of experience.  We think that it tends to be not as strong from a seasonality standpoint.  We always go into the 1st quarter cautious about a sequential comparison as opposed.  That doesn't reflect any views on the fundamentals but just more on the sequential comparisons, just as a best example.  The biggest handset sales of the year happen in the fourth quarter, for example.  And similarly, you know, the biggest chunk of retail purchases and retail advertising happened in the fourth quarter, so those trends are trends that impact our thinking and our analysis.
Safa Rashtchy: Okay.  Great.  Thank you.  Great quarter.
David Rostov: Thank you, Safa.
Jim Voelker: Thanks Safa.
Operator: Operator Instruction We'll move to Imran Khan with JP Morgan.
Imran Khan: Hi, Jim and David, how are you?
David Rostov: Hi Imran.
Imran Khan: Hi.  A couple of questions, first, you know, average price deficit declined to $0.18 from $0.20.  I'm trying to understand if it's a macro level thing or something specific to you in terms of white pages.  Secondly, you know, permutations that deal with Google and Yahoo, we have been hearing that they've been getting much more difficult with sub syndication site.  I was wondering if any kind of risk, what kind of risk you saw while signing that contract and if the tax rate has changed.  Can you give us some direction whether this went up or down.  Those are the few questions.
David Rostov: Thanks Imran.  I'll take the first one, this is David.  On the PPC, you know, as you know, or as you may recall, the $0.18, that we report is a blended average of our two parts of our business so the search side which I think a lot of folks, yourself could have a decent amount of rate visibility into.  And then the other part of our business, also very important part which is the directory side, and really this reflects mostly just a little bit of mix shift from third quarter to fourth quarter where we did a little more on directory side.  Keep in mind, you know, the thing we've always liked about directory in fact is virtually every search, directory yellow pages that is.  Virtually every search is a commercial search.  But the average rate for those searches tends to be lower than your traditional searches, on the search side.  And so that you are just seeing a blended out turn that’s makes a little bit more complex than the line.  On the second question, Jim I guess to handover you.
Jim Voelker: I think Imran what you are asking is about our recent, about the renewals with Google and Yahoo, yeah I would just say that our, you know, our, we've had, now had three years plus with what used to be Overture now Yahoo is slightly under the Google.  Maybe actually a little more with Google and then a little bit more with Yahoo.  So we've had a longstanding relationship with these companies.  Have been, obviously been great for us, we think it's been great for them.  We are pretty significant partner for those of both companies and they would tell you that.  And you know, as our volumes have increased, you know, the tack as you say, is -- you can think about the fact of more business you send people, the better the relationship might be.  And so, you know, there's nothing really extraordinary to report there.  We've had good relationships with them.  We've extended these multi-years again, and you know, we're very pleased with the result and we think they are too.
Imran Khan: As a follow-up to that question, Jim and David, I think you talked to us about like you were cleaning up some of your partners who might have AdAware and Spyware.
Jim Voelker: Yeah.
Imran Khan: Could you give us some status of that, do you, are you 100% done or do you think you still have cleanup to do?
Jim Voelker: No, we think we, you know, we've spent a lot of time on that.  And some of that is trying to hit a moving target from time-to-time, with what the industry if you will thinks about, and you know, the, there's innovative people out there too that find different ways to do things, I think that what's happened over the last year, at least in our relationships is, you know, we've worked really hard together with both Google and Yahoo to try to define what the kind of traffic that we both want.  None of us, none of us are interested in traffic that doesn't convert, in their terms, or that is, that our placing, you know, their advertisers and therefore our advertisers on sites that they don't want to be on.  And so, you know, we've spent long and hard hours, you know, making sure that we've defined that carefully and then I would tell you we absolutely adhere to all the definitions that are there.  And we think, you know, we thing we have a really good base of traffic to continue with right now.  So we're, you know, it's been a lot of hard work, but everybody is, I think as an industry if you will has come together on what the real definitions ought to be, and then how do you manage to it.
Imran Khan: Okay, thank you.
Jim Voelker: Thank you, Imran.
Operator: We'll move to Jordan Rohan with Royal Bank of Canada.
Jordan Rohan: I was curious about the comment that part of the incremental 5 million in operating expenditure in first quarter was going toward content licensing, could you expand upon that a little bit and just tell me, are you going out and specifically licensing content to make into ringtones to distribute in your own direct to consumer or is this the normal standard operating procedure in the ringtone business these days that you have to invest in content, pay more to the artists and such.
Jim Voelker: Actually, Jordan this is Jim, I don't think that we haven't seen any real increases for the artists.  Unless the labels are paying them more, and I would highly doubt that is the case.  So we really haven't seen any.  What it reflects is, our audience is building very rapidly.  So that we now have an opportunity to, if you will, amortizing the cost of going and buying or buying rights or acquiring rights or doing different things in the content world.  Across a much larger audience than we had a year ago.  So we're, you know, it's just, it's an opportunity for us to use the size of our audience and leverage that into broader and deeper content rules, and, of course, the other thing that is happening is, of course, different kinds of content.  Specific for the rest of this year, or later in this year particularly, you'll see a lot of video activity I think as the handsets get out there.  And the networks get out there.  And you know, we're getting ahead of the game in getting licensed there.
Jordan Rohan: Okay, thank you.
Operator: Our next question comes from Sasa Zorovic, Oppenheimer Funds.
Sasa Zorovic: Thank you very much.  The first question would be, in the past you used to give the guidance for the full year and now you've given it for the first quarter only.  Could you tell us why that is now the case, please?
Jim Voelker: Sure, hi, Sasa.  Really, you know, as we talked about, we have a lot of significant initiatives for this company that are getting kicked off in the early part of this year.  You know, on the operational side as Jim talked about, we've merged the business units, that just happened in the last few weeks on the kind of what I call strategic initiative side.  You know, we're launching initiatives in the first half of this year related direct to consumer, we're launching, we launched and we'll hopefully continue to launch, you know, mobile search and expand on that and then obviously on the content side I just talked about, we're doing a lot of things, and so you know, our main focus here is on getting these things up and running, getting some real data and visibility and then obviously we’ll comment when appropriate on future trends and opportunities from that.
Sasa Zorovic: Great.  And then secondly, if you could give us an update on your games part of the business.
David Rostov: Sure, I'll take that.  I mean, we’ve said, you know, from way back when, a year ago, this time when we purchased the two European acquisitions that we expected the gains business to be in the 5 to 10% of our mobile revenues, and you know, as we look back at 2005, that was a good forecast and continued to be the range of our game side.  You know, we got a lot of different initiatives going on in the games front as well.  We've done some licenses and we launched a few new games, and so I think it’s characterized with this business as usual at this point.
Sasa Zorovic: Great.  Thank you.
David Rostov: You're welcome.
Operator: We'll move to Clay Moran with Stanford Group.
Clay Moran: Yes its Clay Moran thanks.  Couple of questions, getting back to the investments in the first quarter, do you have any sense of what the timeframe is that you'll need to make those investments do they go beyond the first quarter.  And then also can you give us any sense of how quickly we start, we start to see a return on those investments.
David Rostov: Sure, Clay.  Well, in terms of the first quarter, obviously these are important initiatives, I wouldn't view them as one-time items in the sense, you know, the cost for example to get up and running and just to pick on, as an example the direct to consumer opportunity that I mentioned.  You know, this will be an ongoing effort by the Company, obviously, the first phase you have to invest in it and spend time and money to get it launched and you know, pre revenues if you will and then obviously after that, you'll have revenues where you'll continue to have real expenses associated with these businesses.  And so, you know, in each of those cases, the phase we're in which is kind of the early phase of that.  I would expect the investment to continue but also obviously we'll expect to start seeing the benefits of that investment as they kick in.  And that's kind of maybe back to one of the earlier questions, you know, at that point and at those points will be able to give you a better sense of how they're going.
Clay Moran: Okay.  Thanks.
David Rostov: You're welcome.
Operator: Gordon Hodge Thomas Weisel Partners.
Gordon Hodge: A couple questions, Jim, I think you mentioned you're ahead of expectations on the query volume on MEdia Net 3.0.  Could you, I was wondering if you could give us a sense of how many users you have on the portal now.  You know, maybe, and I don't know if you include the queries, I gather you don't.  In your query counts that you do provide in terms of clicks, I don't know if those are revenue generating or not.  But the other question I have, is you, I think you have an AOL directory deal that came up at the end of the year, I'm just wondering what the status of that is.  And then lastly, just to follow-up on the indiscernible question, it sounds based on your comment that is we shouldn't assume tack went down with Google and Yahoo, I'm curious just what the overall trend is.  I know you sometimes comment on that, if you wouldn't mind.  Thanks.
Jim Voelker: Yeah Gordon this is Jim, nice to hear your voice.  Actually I am going to take the first and the last question because they are both – piece and confidential and we can't really comment on the queries.  But I would say that we are not counting those queries in our online queries which you received, this were incremental to that.
Gordon Hodge: That's correct.
Jim Voelker: And then David, I think you're going to take the middle question?
David Rostov: Sure.  You know, we have as part of our switchboard business, we have a relationship with AOL where we provide the platform that powers their big yellow page business and it's still up and running and they're using it, so other than that, I can't comment much further on it other than to say we're pleased that they continue to use it.
Gordon Hodge: Okay and in the tack rate overall that it change much in the quarter?
Jim Voelker: As I said, that's confidential, Gordon and --
Gordon Hodge: Oh, okay.
Jim Voelker: Since we signed it, you know, I would tell you that we’ve been very pleased with these relationships, we continue to be, and we are, you know, our volume growth is been positive, and you know, everything's been going along fine there.
Gordon Hodge: What about the affiliate, I think you commented on that in the past.  I think it's 60% of your --
Jim Voelker: Yeah.
Gordon Hodge: Is that still a good range?
Jim Voelker: Yeah, I think David commented on that today.  It's still holding there as we continue to be about the same on both sides there.
Gordon Hodge: Terrific.  Thank you.
Jim Voelker: Thank you.
David Rostov: Thanks, Gordon.
Operator: Our next questions comes from Stewart Barry with ThinkEquity.
Stewart Barry: Thank you and David, best wishes.
David Rostov: Thanks Stewart, I much appreciate it.
Stewart Barry: What was your international revenue this quarter and I was wondering if you could just extrapolate a little bit about your opportunity on that front?
David Rostov: Yeah we actually, we didn't break it out separately.  I mean it will be in the 10K when that shows up in a few weeks, but it's been consistent, you know, during the course of the last few quarters.  No real change there.  Our biggest push on the international fronts really been around two key areas so far, one has been the games business in Europe and the other is been, you know, some search and directory business that we do in Europe as well.  And obviously, you know, we love to do more business in Europe.  It's still a small part of our company, and you know, it continues to be an interest to us in terms of what and how we can expand on.
Jim Voelker: The only thing I'd add there Stewart, is that we, this is Jim, we have, we've increased our headcount if you will in Europe in the last quarter or so, brought on some new leadership and talent there, and we do believe that we, and we've also at the, you know, kind of down in the grain here, you know, granularly a little bit.  Worked hard on getting some search products for the, you know, specifically designed for some of the European players, we did, you know, we've had some success, now with some new clients in the search distribution side.  Then the Search is still relatively, relative to the U.S, newer in Europe.  And there are many more sites that really haven't just either contemplated search or really thought about their role in search.  And so we still think there's a great opportunity there.
Stewart Barry: Okay.  Well, thanks a lot.
Jim Voelker: Thank you, Stuart.
Stacy Ybarra: Operator, I think we have time for one last question.
Operator: Okay, we'll take our next question from Will Power from Robert Baird.
Will Power: Great thanks for taking my question, I wanted to follow-up on the off portal decision.  I know you indicated you expect to incur roughly $5 million in development expenses in Q1.  I guess I wondered how much of that was associated with anticipated marketing expense for off portal.  And then if you can give us any sense for the magnitude of required marketing expense going-forward, and then I guess as part of that, you know, at some level you'll be competing against your current carrier customers, and I guess I wondered how you are thinking about that dynamic and what kind of feedback you might have gotten from some of your larger carrier customers.  Thanks.
Jim Voelker: Yeah well, this is Jim.  Let me take part of that question and then any of the relevant numbers will let David deal with.  Actually, it was -- I won't quite say it was at the behest, but it was certainly with working with our carrier customers that was part of the, part of the confidence that we had in stepping forward here.  The carriers want to see some off deck activity, you know, remember the carriers take a pretty healthy piece of the pie here for billing and for, and really, you know, they -- it's a billing fee technically.  But it's for access to the customer base they own.  And I think that's something to remember overall when all of your thinking about this mobile market that's very different, these users are not – you know, they're not free to roam wherever they want.  They are, you know, customers of certain carriers and the carriers own those customer relationships.  So, you know, those are lucrative agreements, what they have really been looking for in off deck partners though are people that fit I think a couple criteria, three criteria, I'd say, companies that they know have the wherewithal, the financial wherewithal just to be in the business and stay in the business, that's number one.  The companies that have the technical capability to integrate with them, provide, particularly as we start to move from a, you know, attaching a file to an SMS message and dumping it on a phone into more sophisticated applications and we fit that, okay.  And the third, is just somebody that's integrated and trusted, a trusted partner that they've done business with before.  So certainly we haven't developed these out of old cloth, we've worked with our carrier customers side by side to make sure we have the right kinds of offerings there.  David?
David Rostov: Sure, hi Will.  On, you know, certainly the other part of your question, regarding the off portal and the$5 million, just let me make sure on doubly clear here, the 5 million is investment in the total of 5 million investment in three major initiatives for the Company.  So direct to consumer is one of those three.  The other two as I mentioned are the content and the mobile search side.  So the 5 million includes all three of those, in terms of the marketing specifically, yeah, a portion of that 5 million is marketing that.  We won't break it out separately at this point for competitive reasons.  And then as we look to rest of 2006 and beyond, if I would say a little early and also pretty competitive to be discussing our marketing plans.  I would say that, you know, as wouldn't surprise you that, we would give the early phase of launch as being kind of a learning phase in terms of marketing spend, where we'll spend some money, and a lot of the money will be designed to learn about, you know, what are the most effective ways to get customers, what's the right cost of acquisition, et cetera.  And then we can dialup or dial those earnings down as we go and so, you know, that's something you'll have to say going forward.
Will Power: Okay.  And is there a plan to actually get that launched here in the next month or two, I guess, at the end of the first quarter?
David Rostov: We talked about the first half of '06 and I guess any more familiarity than that, we won't be providing today.
Will Power: Okay.  Thank you all.
Jim Voelker: Thanks Will.  Operator, I think that's -- we're out of time.
Operator: All right.  That does conclude today's conference, we thank you for your participation, you may disconnect at this time.